Operator: Good morning, and welcome to the Dice Holdings Fourth Quarter 2014 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Jennifer Milan, Director of Investor Relations. Please go ahead.
Jennifer Milan: Thanks, and good morning everyone. I'm thrilled to be joining you all today as the company's new Director of Investor Relations. With me on the call today is Mike Durney, president and Chief Executive Officer of Dice Holdings; along with John Roberts, our Chief Financial Officer. This morning, we issued a press release describing the company's results for the fourth quarter and full year of 2014. A copy of that release can be viewed on the company's website at diceholdingsinc.com. Before I hand the call over to John, I'd like to note that today's call includes certain forward-looking statements, particularly statements regarding future financial and operating results of the company and its businesses. These statements are based on management's current expectations or beliefs and are subject to uncertainty and changes in circumstances. Actual results may vary materially from those expressed or implied by the statements herein due to changes in economic, business, competitive, technological and/or regulatory factors. The principal risks that could cause our results to differ materially from our current expectations are detailed in the company's SEC filings, including our annual report on Form 10-K, in sections entitled Risk Factors, Forward-looking Statements and Management's Discussion and Analysis of Financial Condition and Results of Operations. The company is under no obligation to update any forward-looking statements, except as required by the federal securities laws. Today's call also includes certain non-GAAP financial measures, including adjusted EBITDA, adjusted EBITDA margin and free cash flow. For details on these measures, including why we use them and reconciliations to the most comparable GAAP measures, please refer to our earnings release and our Form 8-K that has been furnished to the SEC, both of which are available on our website. Now I'll turn the call over to John.
John J. Roberts: Thank you, Jen. I'm excited to have you on the team. We're looking forward to your expertise as it relates to your experience in both an investor relations and communications firms and as a research analyst. It's great to have you here. Now let me welcome you all to the Dice Holdings Fourth Quarter Earnings Results Conference Call. First, I will give you details on our Q4 financial performance. Then I will turn the call over to Mike, who will cover the progress we are making on our strategic plan and provide a view of the company's key goals and initiatives for 2015, all of which are designed to further enhance our ability to capture organic growth longer term. And finally, we will open it up to questions. Overall, we are pleased with the continued progress we made on our operations during the fourth quarter, which builds on the work we have completed throughout the year. Recruitment activity in the fourth quarter was fairly consistent across our brands, with the exception of Energy where we have started to see significantly more uncertainty in the market. For the fourth quarter, I want to highlight a few areas important to our results: first, improved year-over-year organic billings growth, including in all 3 brands in our Tech & Clearance segment; second, higher year-over-year revenue per recruitment package customer at Dice.com, reflecting the positive impact of Open Web and increased service levels; and third, improved year-over-year results at Slashdot Media for a fourth quarter in a row. Fourth quarter revenues increased 16% year-over-year to $67.8 million. The majority of the growth, $7.5 million, came from businesses that we acquired since November of last year. The year-over-year increase also reflects growth in all 3 brands in the Tech & Clearance segment and Slashdot Media. Our profitability remained strong, with adjusted EBITDA at 30% of adjusted revenues and up 5% year-over-year to $20.1 million. Now for more detail on the specific segments. For Tech & Clearance, revenues increased 4% year-over-year, with growth in all segment brands. For Dice.com, revenues increased 1% year-over-year. At December 31, Dice recruitment package customers were 7,800, down relative to the count at the end of the third quarter. The decrease in count from Q3 to Q4 is typical and, on a percentage basis, was less than last year but similar with 2011 and 2012. Within the Dice recruitment package customer base, there were minimal shifts quarter-over-quarter between shorter-term and annual customers, with more than 90% or 7,250 of our customers under annual contract at quarter end. The renewal rate on annual contracts ticked up slightly both sequentially and on a year-over-year basis in the fourth quarter to 69%, with about 1,800 customers up for renewal during the quarter. In Q4, customers spent on average $1,070 per month, up 6% year-over-year, as customers continued to increase their levels of service. Given the significant growth of Open Web over the year, this now accounts for nearly half of the year-over-year increase in average revenue per customer during the quarter. Finally, within the Tech & Clearance segment, ClearanceJobs, while only accounting for 4% of our overall revenues, achieved record quarterly billings with the fourth straight quarter of higher year-over-year billings. Moving on to our Finance segment. Revenues increased 1% year-over-year to $9.2 million, with billings relatively flat to last year. Translation from the pound to the dollar negatively impacted revenues by $177,000 compared to the fourth quarter a year ago, so on a constant currency basis, revenues increased 2% year-over-year. I'll be discussing the regions in their respective functional currency to give perspective on the underlying business trends. Overall, the trend is positive in the major financial centers. In the U.K., revenues increased 6% year-over-year in sterling and accounted for about 43% of the segment's revenues in the quarter. The environment continues to be better than last year. In the Asia Pacific region, which is 24% of overall segment revenues, revenues were up 2% in Singapore dollars, with stronger performance in Asia, which was up 10%, offset by a continued softness in Australia. In Continental Europe and the Middle East, which is a combined 19% of the segment, revenues increased 8% in euros. And current sentiment there is more mixed, especially in Switzerland and France. The U.S., which is 13% of the segment's revenues, was down 3% year-over-year. However, Q4 billings were up 4% year-over-year, marking 2 straight quarters of billings growth. In our Energy segment, revenues were up 34% year-over-year to $8 million in the fourth quarter, including OilCareers, acquired in March 2014, which contributed $1.9 million in the quarter. In the quarter, we started to see the impact of falling oil prices and an increase in overall uncertainty in the market. We expect the impacts to be worse as we move forward into 2015 given the announced layoffs at several large energy companies and the impact of uncertainty on hiring plans. In our Healthcare segment, revenues totaled $6.9 million, up $3.2 million from Q4 2013 due to the November 2013 acquisitions of HEALTHeCAREERS and BioSpace. The Hospitality segment contributed $3.6 million of revenues in the quarter, up $2.2 million due to the timing of the 2013 acquisition of Hcareers. Finally, Corporate & Other. This segment contains Slashdot Media and WorkDigital. Slashdot Media revenues increased 16% year-over-year to $4.7 million due to the continued impact of better strategies to optimize the assets of the business. This makes 4 consecutive quarters of improved performance for this business. This segment also contains our corporate-related costs, which were $3.3 million in the quarter. On a year-over-year basis, for our largest segments. Q4 billings for Tech & Clearance were up 11%, including an increase of 8% year-over-year at Dice.com. Finance billings were consistent with prior year. And Energy, including OilCareers, increased 38%. Our billings performance is reflected in deferred revenue on the balance sheet, which totaled $86.4 million at the end of the year, which is up 12% or $9.1 million from last year. While deferred revenue is certainly driven by the timing of billings to some extent, there are some positive indicators within here. The increase was primarily driven by Dice.com and ClearanceJobs, which contributed $4.2 million of the $9.1 million increase; and the acquisition of OilCareers also accounted for approximately 10% of the increase. On the expense side, operating expenses decreased 15% year-over-year, primarily due to a $15.9 million impairment charge in Q4 of last year. Excluding the impact of the impairment charge in 2013, operating expenses increased $6.5 million year-over-year or 13%. The year-over-year increase from acquired businesses was $6.7 million in the quarter. While operating expenses for Q4 were slightly above our initial expectations, we took the opportunity to continue to invest in the quarter. As an example, our own hiring was higher than usual, and we were able to fill open positions faster than we thought. Additionally, Dice.com ran a successful marketing campaign in Silicon Valley. And given the positive reception, we expanded it faster than initially planned. Adjusted EBITDA, which includes the add-back $142,000 for the fair value adjustment related to purchase accounting of acquisitions, totaled $20.1 million or 30% of adjusted revenues during the fourth quarter. That's up 5% year-over-year. Reconciliations of adjusted EBITDA to net income and net cash flow from operations are provided in our press release. Our income tax expense for the quarter was $5 million, resulting in an effective tax rate of 44%. The rate was higher than our normalized rate due to a true-up of a discrete item from the OTJ acquisition. For the full year, income tax expense totaled $15.2 million, for an effective rate of 36%. The 36% rate is lower than our normalized go-forward rate due to the tax benefit recognized in Q3 in 2014. The company posted net income in Q4 of $6.5 million, resulting in diluted EPS of $0.12. Cash flow from operations totaled $7.9 million in the fourth quarter compared to $8.6 million last year and $55.5 million for the full year compared to $49.4 million last year. This is up 13% year-over-year, while we continued to invest in our business for growth and innovation. The financial strength and consistency of our business allowed us to expand strategically and continue to return cash to stockholders through our buyback program. We ended the year with $26.8 million in cash and equivalents and $110.5 million of debt outstanding after $2.6 million in net debt repayment and $1.9 million in CapEx spending during the fourth quarter. During the quarter, we purchased approximately 700,000 shares of our common stock pursuant to our stock repurchase plan at an average cost of $8.34 per share, for a total cost of approximately $5.6 million. In December 2014, the board authorized a new buyback program for a total of $50 million. For 2015, our guidance includes ranges for both the upcoming quarter and the full year. For 2015, we anticipate revenues in the range of $268 million to $276 million and adjusted EBITDA of $80 million to $84 million or approximately 30% of revenues. In Q1, we expect revenues $63.5 million to $65 million and adjusted EBITDA of $16.5 million to $17.5 million or 26% to 27% of revenues. There are a few items impacting the Q1 guidance specifically that I want to highlight. First, the growing uncertainty in the Energy market is projected to have a significant impact on Q1 revenues. Because we believe the impact of that to be temporary, we are not reducing expenses in our Energy segment, therefore an impact on Q1 margins. Second, on a year-over-year basis, the strengthening dollar is expected to have approximately a $1 million negative impact on Q1 revenue. And third, we continue to make investments in the Dice.com product in sales teams, as well as new investments in the Healthcare vertical through product development. For more on the investments and strategies, we have planned to drive organic revenue growth in 2015. Let me turn the call over to Mike.
Michael P. Durney: Great. Thanks, John. Usually, I conclude my remarks by thanking all of our employees for their hard work and dedication, but this time, I want to start off by acknowledging each of them for their effort and accomplishments over the past year. As a company, we've undergone a tremendous amount of change through 2014. When I look at our company today relative to a year ago, we have a lot of new people in place, not only in senior positions but throughout the whole organization. Of our 830 or so people worldwide, roughly 1/3 of them joined the company over the past year. The result of that today is that we are a more innovative, more progressive and more responsive organization by far for our customers and the professionals who use our services and for our employees and shareholders. And it shows in the operating and the financial performance of the company. We started 2014 with a number of goals designed to better position the company for capturing more organic growth. And although we still have a lot of work ahead of us, I'm very pleased with all that we've accomplished so far. A year ago, we talked with you about 2 principal initiatives for 2014 that we believe were critical to strengthening our company's performance for clients and professionals and ultimately in our ability to compete in what is a rapidly evolving marketplace. The first was improving Dice.com in the areas of product development, marketing and sales. And the second was investing in technology and support for additional products built within our WorkDigital team, who developed the service that is the foundation of what became Open Web. In addition to these 2 specific areas of focus for us in 2014, we outlined 3 key strategic priorities. One is to leverage the power of data and analytics in order to maximize the value that is inherent in the targeted nature of our brands. Two is to build robust mobile applications and mobile-enabled sites that would allow us to deliver our services anywhere. And three was to continue building a culture of high performance within the company that would enable us to better leverage innovation across all of our sites. Throughout our earnings calls in 2014, we kept you apprised of our progress against these initiative and priorities, and we have more progress to report to you today. In the fourth quarter, we continued to demonstrate results in these key strategic areas with further improvements at Dice.com, the rollout of Open Web for a third brand, the continued launch of mobile services and the ongoing deployment of enhanced products and -- for our clients and professionals across our brands. We continue to leverage our team and technology at WorkDigital with the rollout of a third version of Open Web. This version for our eFinancialCareers business is tailored specifically to the brand's end-user market, as are the deployments for Dice.com and The IT Job Board. Just as we have distinguished ourselves in our core businesses through our leading specialist position and strategy, we're doing the same with Open Web, leveraging the knowledge, data and insights in our specialist verticals to credit a metasearch experience that is unique to each vertical. During the first week of December, we launched the next version of Open Web as a standalone service with a search algorithm based on skills and companies specific to financial services. What this means, in fact, is that, for example, a search for a fin tech professional on the eFinancialCareers version will generate a different set of results that is uniquely tailored to financial services than you would get for the same search criteria applied generally to tech professionals on Dice or IT Job Board. This highlights our vertical focus and the ability to use data and analytics to enhance efficiency in a recruiting process. In the 1 month of 2014 since launch, we're pleased with the number of customers who are conducting a paid trial and the feedback we've gotten to date, especially given that December is not generally a good time for recruiting activity in financial services sector. At Dice.com, we also continued to evolve Open Web with another round of product enhancements, featuring integrated search and more detailed profiles, that have increased Open Web usage by over 50% in the last 6 months. Recently, we launched a new mobile app called Dice Recruiter for all of our Open Web customers, bringing greater efficiency to recruiters using Open Web and the Dice talent match products. Initial adoption trends have been good, and we're also seeing increased adoption at The IT Job Board in the U.K. and Europe. At eFinancialCareers, we integrated social profiles into the resume database search for existing clients, pulling Open Web profile information and skills burst into matching candidate profiles. Skills burst is a new feature that was introduced in this deployment of Open Web that uses data we've accumulated from Open Web together with our own proprietary data about relations of skills. This enables clients to see the skills clusters of candidates in a highly interactive and visual format. For the professionals who use Dice.com, we rolled out a completely revamped experience for tech professionals, resulting in simplified workflows, a mobile-friendly website and big improvements in the site's performance, making for a faster, easier experience that tech pros are using on all their devices. There is more work to do here, but this is an important first step in building a better user experience on Dice. Throughout 2014, we made a lot of progress with Dice.com on product initiatives, innovation and speed to market and also enhancing the sales force and our sales strategy. Now we can add to that demonstrable improvement in marketing, as we have created some serious buzz with our "hottest tech talent" marketing initiative, a new billboard campaign that amplified the awareness and coverage of Dice.com tremendously. We launched the first billboard in Silicon Valley in October, and while we can't point to a direct correlation from an offline campaign to specific results, we saw a steady growth in Silicon Valley traffic in Q4 and job talent in that region that is up 10% year-over-year. And anecdotal customer and prospect awareness have certainly grown. We've now rolled out the campaign to tech centers like Seattle and Austin and may expand it to other tech markets. Lastly, in terms of 2014 milestones and one I didn't specifically call out earlier, our 2 large integration projects are well in hand. Our original Healthcare brand Health Callings was officially sunset at the close of 2014, so all profiles and user activity are now fully integrated into HEALTHeCAREERS. We're now operating our Healthcare vertical under one brand on one site. And the integration of Rigzone and OilCareers remains on track to complete in the spring. Looking forward to the year ahead, I first want to give you my high-level thoughts on the environment in the technology sector. Overall hiring remains positive both here and abroad. In the U.S., the average compensation continues to grow, and hiring sentiment is the strongest in the history of our semi-annual hiring survey. Candidates appear to be in a very strong negotiating position. In security clearance, the marketplace continues to be favorable with a greater number of open positions and smaller pool of available talent. Overall in financial services, the hiring environment continues to be positive in the main financial centers the U.S., U.K., Singapore, Hong Kong and mainland China, with the environment in Europe and the Middle East more mixed. Sentiment in the Energy sector is poor, as you might suspect, as oil prices continue to drop. The current expectation of most analysts seems to be that pricing will not improve in the next 6 months and could persist at low levels throughout 2015 and beyond. Recent history has shown that dramatic changes in the price of oil will cause the industry to go into a standstill from a hiring and recruiting standpoint, and this time is no different. We expect that, when the dust settles, though, recruitment activity will return, although it's likely to be at a lower level than we have seen recently until the price of oil rises above today's levels. Looking ahead, in the Healthcare sector, hiring appears to be relatively flat. We believe that finding qualified talent continues to be a challenge for hiring managers, particularly in the case of physicians, with an increase in turnover rates serving as another potential benefit over the long term. In Hospitality, overall environment appears to be one of cautious optimism for 2015 and '16 based on positive industry trends in 2014 such as the highest occupancy rates in the U.S. since 1996. There are a record number of hotel rooms being constructed. Turnover continues to increase, and demand for a number of industry positions has remained consistently high. So what does this all mean for us in terms of strategic direction and areas of focus in 2015? Our overarching approach is to continue on our path of innovation and vertical leadership that we outlined a year ago. We made great progress in 2014 and are confident in our direction but recognize we have more work to do. Overall, we've seen the evolution of sourcing as a dominant theme in recruiting. Companies are spending more time and resources on sourcing candidates versus the past. We've been a leader in sourcing from its early stages, when Dice created the profile database for IT professionals that recruiters searched. That leadership has continued with the successful beginning of Open Web, where we are providing efficient access to many millions of professionals by creating aggregated profiles from publicly available information. We will continue to enhance our offerings in the areas of talent sourcing and be a leader in providing access to talent through multiple channels. Specifically, in the near term, we'll continue to work on improving product performance and capabilities across all of our brands. We'll also continue to enhance our products with actionable data and improved depth of analysis while iterating and launching new versions of Open Web. At the same time, we'll continue to build on our now stronger platform with strategic expansion initiatives. This will include expansion of tech in EMEA with the launch of the Dice.com brand and platform, as we intended with the acquisition of The IT Job Board. We'll also work to build out further capabilities in talent sourcing management to add more offerings in our Healthcare segment and expect to complete the intergradation of OilCareers and Rigzone. All of this will entail ongoing levels of investment in product, marketing and sales. We believe it's prudent to elevate our sense of urgency to capitalize on the investments we've made to date and we'll continue to make in innovation and bringing our new products to market. In short, 2015 is a year in which we continue our path of product innovation and building organizational leverage as we work to improve our overall capabilities and better position the company for growth over the longer term. And so with that, I'll turn it over to questions.
Operator: [Operator Instructions] And the first question comes from Craig Huber with Huber Research Partners.
Craig A. Huber - Huber Research Partners, LLC: My first question, I guess, on the cost front. Can you give us a sense of where -- the percentage change you're expecting for your sales and marketing line for 2015?
John J. Roberts: Craig, it's John. So I wouldn't expect the percentage of the core to change dramatically. It will go up a little bit as we continue to make some additional investments in especially the Dice.com sales and marketing business, that part of the business that we've talked about. I think, as the -- certainly, as the Energy revenue goes down and we don't make dramatic changes there on the cost front that we've talked about, naturally, that percentage is going to move up a little bit in the short term.
Craig A. Huber - Huber Research Partners, LLC: Okay. And then can somebody just speak a little bit about the pricing environment out there for your competitors? Is it pretty stable still? Or how is it tracking out there?
Michael P. Durney: I think it continues to be relatively stable. There's a wide variety of products and services and a wide variety of pricing. I think, overall, from the generalists, so Monster, CareerBuilder, LinkedIn, pricing is generally stable. LinkedIn's raised their pricing. They're also now starting to restrict what you can get for free, which we had expected would come over time. But generally speaking, over the last 12, 18 months, the overall pricing environment's been stable to relatively positive.
Craig A. Huber - Huber Research Partners, LLC: Okay. And then Michael, on along those same lines, is there any major differences in the various tech centers across the U.S. in terms of how tight the labor market is for technology hirings? Or is it all -- it's all pretty stable? Or who's been able to standout one way or the other?
Michael P. Durney: Yes, I think the -- overall, I would say it hasn't changed very much. The -- as we like to describe it, the closer you are to the customer, the tighter it is. And the farther away you are from the customer, it's less so. Certainly, the development centers of Silicon Valley and New York and, maybe to a lesser extent, Boston and Austin and Seattle are quite strong. When you get more back end, it's less strong. And that's been the case for a while, but it's all relative because, generally speaking, it's strong across the board.
Craig A. Huber - Huber Research Partners, LLC: And then just 2 quick housekeeping ones, please. At the end of the quarter, maybe you had -- you said this, what was the number of Open Web subscribers? I think it was like 600 at the end of the September quarter.
John J. Roberts: Yes. So at the end of the year, between the various businesses, which sort of now we've launched it in 3, there's over 700 active end customers at the end of the year.
Craig A. Huber - Huber Research Partners, LLC: So right around 700 then.
John J. Roberts: Yes, just over 700, actually.
Michael P. Durney: Yes. I think, given -- so sorry, Craig. Just given the significance now of Open Web and how much it's grown and how important it is to us, going forward, we'll start to give some specific metrics. So the number John just gave is the resolution of -- these are ongoing active, paying customers across the brands.
Craig A. Huber - Huber Research Partners, LLC: Maybe just remind people about the pricing of Open Web, how much that costs as a bundle but also the add-on product versus your base price if you would, please.
John J. Roberts: Sure. So on Dice.com, as a kind of a general benchmark, if you buy the recruitment package -- recruitment package, you have roughly $6,500 for an annual subscription. You can add Open Web on top of that for about $3,500.
Craig A. Huber - Huber Research Partners, LLC: If I just want to buy Open Web, how much is that?
John J. Roberts: About $5,000.
Operator: The next question comes from Randy Reece with Avondale Partners.
Randle G. Reece - Avondale Partners, LLC, Research Division: I wanted to get a better understanding of, in your sales and marketing investment, looking not only at your expectations for '15 but also the fourth quarter results, how much of the move there is sales versus online marketing spend? And how much incrementally where the dollars are going to flow in '15 in those 2 categories, people versus, I guess, online?
John J. Roberts: So it's -- so Randy, it's both. So over the course of the year, we've increased headcount at -- within the Dice sales team specifically. And then also within Q4, one of the things that I talked about a little bit and Mike highlighted as well is the Dice marketing spend certainly was up in Q4 due to the billboard and some other marketing campaigns that they had. While that's not direct, obviously that's offline, but it's in the marketing spend outside of the people. So if you look out what happened in Q4 and what the trend has been recently, it's been increases in both pieces. And I would expect that same to continue moving forward.
Randle G. Reece - Avondale Partners, LLC, Research Division: When it comes to launching Dice.com in EMEA, what kind of timing are you looking for there? And is there any seasonal good period to launch this kind of thing?
Michael P. Durney: Yes, I think -- if I take the second piece, first, quickly. I think -- seasonally, I don't think there's any great time or poor time. We'd certainly like to have it done before we get to the fourth quarter, when we can start to really promote the brand from a customer standpoint, heading into the buying season of Q4 into Q1. I would expect it'll be relatively slow over the course of 2015 as we first focus on the brand and incorporating the Dice brand into those markets. So Dice actually has some awareness in those markets even though we've never operated there, but it's not huge, so we need to build the awareness, first, with the current users and then -- and broaden to other users. The integration of the platform is likely to come later in the year and roll into 2016.
Randle G. Reece - Avondale Partners, LLC, Research Division: Into '16, okay. And looking at the Dice recruitment package pricing trend, it's better than expected, for me, in the fourth quarter. And that kind of increase, what kind -- what is built into guidance after you did a 6% number in the fourth quarter?
John J. Roberts: Yes, so what's built in the guidance is a continuation of the trend we've seen over 2014. So if you look at what's happened to the average revenue per customer, you pointed out the 6%, I think we've seen that steady increase over the course of the year. And one of the things I mentioned was that about half of that increase now in Q4 -- given the continued ramp-up of Open Web and the impact of Open Web revenue now in Q4, that accounted for about half of that dollar increase in Q4 on a year-over-year basis.
Operator: The next question comes from Jeff Silber with BMO Capital Markets.
Jeffrey M. Silber - BMO Capital Markets Canada: In looking at your 2015 guidance, it looks like you're projecting some slight EBITDA margin contraction in the year despite some hope for revenue growth. You mentioned the investments. They make a lot of sense to better position the company long term, but do you think margins can begin to expand again after this year? And if so, what are your long-term goals for adjusted EBITDA margin?
Michael P. Durney: So Jeff, this is Mike. I think, when I look out -- we went through the process we normally go through in terms of evaluating what we wanted to accomplish in 2015. There is slight march in [ph] contraction because we believe firmly we need to continue on the path of the things that we've been working on already. I talked about Dice.com. We talked about WorkDigital. Certainly, the Energy business, I would say, is a couple million dollars of contraction from an EBITDA standpoint from '14 into '15, so that certainly plays a part. When I look out and what we've evaluated as a management team is there's a number of initiatives in our core product that we have to continue that we started in '13 through '14, and I think those level out in '15. There is a number of other initiatives that we're looking at to expand our business that have slight incremental costs built into 2015, where we're going to make a go of those businesses. And we'll invest in them for a period of time and see if they have legs, and if they do, then we'll continue to invest and expect to build yield, revenue growth. And if they don't, we'll pause on those. So that's the background. Generally speaking, I would think that we'll have EBITDA margin expansion coming out of '15 and into '16. And I think, long term, we used to talk about 40%. I think, given the nature the businesses in and how we've expanded them into different margin profiles, that 40% is probably a lofty goal over the next few years, but I certainly think we'll be firmly into the 30s based on the level set of investment we've made to date and are expecting in '15 and how we can leverage that starting out of '15 into '16.
Jeffrey M. Silber - BMO Capital Markets Canada: You mentioned the uncertainty in the Energy business. I'm just curious, in talking to your customers, is there a certain level of oil prices where maybe that uncertainty goes away? If we stay at stable oil prices, can things improve over the course of this year?
Michael P. Durney: Yes, so we've talked for a long time about the view that there's kind of full investment at $70 and above. Under $70, it starts to decline. And when you get to $50, it's really hard for a lot of markets to make money. That varies widely. In some markets, you can make money at $30 and $40. In some markets, it takes $60 and $70, but generally speaking, that's always been our view since we've been in this business over the last 4 or 5 years. So I'd say that's the baseline. Having said that, what I tried to portray when I was talking about the environment is one of the things that happens, and we saw this -- we didn't own the business in '08 and '09, but we certainly saw it. After the fact is, when you have steep movements up or down, there's a little bit of paralysis that comes because you don't know how far it's going to go up or how far it's going to go down. So what we've seen in the back half of Q4 and in the first month of 2015 is that paralysis, where you have no idea where it's going to go. And so what we hear from customers is, "I don't know. I can't make a decision. We'll see what happens," but the expectation is, no matter where it lands, so let's say it lands in the 40s for a period of time, once the movement stabilizes, then we'll start to see some level of recruiting activity. So that level of recruiting activity is likely to be lower in the 40s than it was -- would be in the 70s and was in the 90s and 100s, but there will be some level of recruitment activity. So that's why, when you look at our projections, generally speaking, we don't expect the business to be half the size, even though oil is less than half than what it was, because we expect that activity to continue, some level of activity to continue. But when it bottoms and when it stabilizes, we're pretty sure that a fair amount of recruitment activity will commence, recommence. So that's how I -- did that help?
Jeffrey M. Silber - BMO Capital Markets Canada: Yes.
Operator: The next question comes from Tim McHugh with William Blair.
Stephen Sheldon: It's Stephen Sheldon, in for Tim. Firstly, I just want to ask about your revenue guidance for 2015. I believe you said that the drag from currency would be $1 million in the first quarter, so how much of a drag are you factoring in for the full year?
John J. Roberts: For the full year, Stephen, it's close to $3 million.
Stephen Sheldon: Okay. And then just looking at the Energy segment, I know we always talk about -- you've talked about that a decent amount, but it's like you're assuming a roughly 10% to 15% decline in the segment for 2015, if my math is right. So I know that's normally been a higher-margin segment. How much of the assumed decline in 2015 is due to that? And I know you said also you're not going to be cutting expenses there, so just any color there would be appreciated.
John J. Roberts: Yes, so a pretty big portion of the decline, certainly in Q1, is related to that. So you're right. I mean, if you look at the -- what we're saying in our projections both for Q1 and for the year, it projects that segment down 10% to 15% or down a couple million dollars, as Mike said a second ago. And at least as we sit here today, we don't anticipate making changes to the cost structure, so that's going to have -- the most significant impact on the margin is going to be related to that.
Michael P. Durney: I think I'll just add that, broadly speaking, there's a couple things that we want to do. One is we have to finish the integration of the 2, so out of the costs, at least the short-term cost to it. And that, we're going to do no matter what because that's we set out to not have 2 sites but 1. As an example of where we're investing is we've talked a lot about the data services business over the years. It's a relatively small part of Rigzone, but we think we can expand it. We think there are some countercyclical benefits to the data services business as people look for information about what's going on in the marketplace, so we're investing a little bit. It's not a huge amount but it's a little, but I use it as an example of where we want to continue to invest so we're ready. We know the business will come back. We know oil prices will come back. We don't know when, but we're totally confident it will come back. And now our business will rebound, and we want to be there to take share in that market.
Operator: [Operator Instructions] The next question comes from Kip Paulson with Cantor Fitzgerald.
Kip N. Paulson - Cantor Fitzgerald & Co., Research Division: Just a couple quick ones. First, what was primarily responsible for the decelerating year-on-year revenue growth in Finance? And what was deferred revenue growth for the segment in the quarter?
John J. Roberts: Sure. So let me give you the -- so deferred revenue growth for Finance, specifically in the quarter, that was up actually about -- it's up about 17% from the end of last year, so the end of '14 to the end of -- from the end of 2013, so up about $1.3 million or $1.4 million, 17%. Sorry, what was the first part of the question?
Kip N. Paulson - Cantor Fitzgerald & Co., Research Division: And as far as the decelerating year-on-year revenue growth overall in the quarter for Finance?
John J. Roberts: I think you have to look at the -- so you have to look at the individual segments within there. And I gave some color on some of the pieces in there. I mean I think, overall, if you look at kind of the trends in the major financial centers, those are positive in the last -- certainly in the last quarter or so. If you look at the individual growth year-over-year on a constant currency basis outside of the U.S. and Continental Europe that certainly are being a drag on the overall segment, it's been -- it's actually been fairly positive in the U.K. and the Asia part of our Asia Pacific region.
Kip N. Paulson - Cantor Fitzgerald & Co., Research Division: Okay, great. And then as far as guidance, what does guidance imply for the financial segment in 2015? Are you baking in a continued acceleration from here?
John J. Roberts: Yes, so if you look at kind of the percentages of what the segments are that are in the guidance there, I think what you see in Finance is a continuation of the core trends that we've seen in the last couple quarters. One of the things that obviously is impacting it, given that the majority of that business is non-U.S. business, is the impact of the currency that I mentioned earlier. I mean that the Finance segment feels the brunt of the currency impact that I described earlier.
Operator: As there are no further questions, this concludes our question-and-answer session. I would now like to turn the call, conference back over to Jennifer Milan for any closing remarks.
Jennifer Milan: Thank you for your time this morning and for your interest in Dice Holdings. Management will be available to answer any follow-up questions you may have. Please call investor relations at (212) 448-4181 to be placed in the queue. Thank you, and have a great day, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.